Operator: Good day, and welcome to the Evolution Petroleum First Quarter Fiscal Year 2023 Earnings Release Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Mr. Ryan Stash, Evolution's Chief Financial Officer. Please go ahead.
Ryan Stash: Thank you, and good afternoon, everyone. Welcome to our earnings call for the first quarter of fiscal 2023. Joining me today is Kelly Loyd, a recently named President and Chief Executive Officer and a member of our Board of Directors. After I cover the forward-looking statements, Kelly will review key highlights along with our operational results. I will then return to provide a more detailed financial review, and then Kelly will provide some closing comments before we open it up and take your questions.  Please note that any statements and information provided today are time-sensitive and may not be accurate at a later date. Our discussion today will contain forward-looking statements of management's beliefs and assumptions based on currently available information. These forward-looking statements are subject to risks and uncertainties that are listed and described in our filings with the SEC. Actual results may differ materially from those expected.  As detailed numbers are readily available to everyone in yesterday's earnings release, this call will primarily focus on our strategy as well as key operational and financial results and how these affect us moving forward. Please note that this conference call is being recorded. If you wish to listen to a webcast replay of today's call, it will be available by going to the company's website.  With that, I will turn the call over to Kelly.
Kelly Loyd: Thank you, Ryan. Good afternoon, everyone, and thanks for joining us for today's call. Before I begin my prepared remarks, I'd like to thank the Board for naming me President and CEO.  I've gotten to know the full team here at Evolution very well since I was named the Interim CEO in June. And I'm truly excited to lead this talented group of professionals as we move forward and continue to make progress towards and ultimately achieving our long-term goals. I am fully committed and aligned with the Board in executing the company's strategy of disciplined financial management and accretive capital allocation with a goal of maximizing total shareholder returns.  I look forward to leading Evolution in this next chapter. The first quarter marked a solid start to fiscal 2023. I want to thank all of our team members for their continued hard work and dedication. We're pleased with our overall results for the period, which was highlighted by another period of strong free cash flow generation, which we use to fund operations, capital spending, shareholder dividends and to reduce a significant amount of debt. We made a commitment to continue to pay down borrowings on our credit facility, and we delivered on that commitment by reducing debt by $9 million, a decrease of more than 40% since June 30. Our strong cash flow generated during the first quarter was also used to fund the payment of our quarterly cash dividend of $0.12 per common share, which was 20% higher than the $0.10 per share that was paid during the fourth quarter of fiscal 2022.  Our Board declared a cash dividend for the second quarter of fiscal 2023 of $0.12 per share. This will mark the 37th consecutive quarterly cash dividend paid by the company since we began this return of capital program in December 2013. There are very few small-cap EMP companies who can say they have consistently paid a dividend for that length of time throughout several tumultuous commodity price cycles.  We are proud to say that over the past 9 years, Evolution has paid over $90 million or $2.73 per share back to our shareholders. We have strong long-life and low-decline assets that will continue to support the sustainable quarterly dividend for the immediate and long term, benefiting our shareholders with a steady return of capital.  Maintaining and ultimately growing the payment of a quarterly cash dividend remains a top priority. In further support of our shareholders, on September 8, our Board authorized a share repurchase program of up to $25 million of our common stock through December 31, 2024.  Turning now to operations. In the first quarter of fiscal 2023, we produced 7,598 net BOE per day, which was 2% higher than the 7,451 net BOE per day that we produced in the fourth quarter of fiscal 2022. The first quarter benefited from higher natural gas and NGL production as well as higher natural gas pricing. This was offset by lower oil and NGL pricing versus the fourth quarter of fiscal '22.  Having said that, we have been encouraged to see an upward trend in oil and NGL pricing recently, which will support additional cash generation in the second quarter of fiscal 2023. Looking at our first quarter results in more detail. Net production at Jonah Field for the first quarter was 181 MBoe or 1,967 BOE per day. This included 958 million cubic feet of natural gas or 88% natural gas.  The Jonah Field is our most recent acquisition and similar to our other assets is highlighted by long-life and low-decline reserves that generate significant cash flow. In addition, the transaction also provides access to attractive Western markets where we continue to see favorable natural gas pricing. First quarter net production for our Williston Basin properties increased to 45 MBoe or 489 BOE per day, of which approximately 82% was oil.  We continue to work closely with the operator, Foundation Energy Management on high-grading expense workovers, recompletes and sidetrack drilling opportunities. In addition, technical evaluations remain underway to assess our Pronghorn and Three Forks drilling locations. Net production for our Barnett Shale properties for the first quarter increased 8% and to 329 Mboe or 3,576 BOE per day, of which approximately 77% was natural gas. This is a result of diversified Energy's capital workover program, which has been very active since becoming operator 11 months ago.  Hamilton Dome field net production increased slightly to 38 MBoe or 413 BOE per day. We will continue to support the operator, Merit Energy in their efforts to restore production at previously shut-in wells, adjust water injection locations and volumes and execute on other targeted maintenance projects.  Net production at Delhi Field increased slightly to 106 MBoe or approximately 1,153 BOE per day. Denbury is the operator at Delhi field, and they're continuing to perform conformance workovers and upgrades to the facilities. Before I turn the call over to Ryan, I'd like to point out that we recently posted our 2022 corporate sustainability report to our website which details our commitment to high-quality, transparent and comprehensive ESG efforts and disclosures.  I am proud of our employees' commitment to sustainability and our Board's hands-on oversight, which is demonstrated by the Board's newly formed Sustainability Committee. Environmental stewardship, sound corporate governance and contributing positively to our employees and the communities where we work are cornerstones of our culture. We invite you to review our report to learn more about our sustainability efforts and our plans to continue to work with our third-party operators who share our core values and are committed to being good environmental stewards as we responsibly produce our energy resources together.  With that, I will now turn the call over to Ryan to discuss our financial highlights.
Ryan Stash: Thanks, Kelly. As mentioned earlier, please refer to our press release from yesterday afternoon for additional information concerning our first quarter fiscal 2023 results. My comments today will primarily focus on financial highlights and comparative results between the first quarter of fiscal 2023 and the fourth quarter of fiscal 2022.  A key highlight of the first quarter was our continued solid generation of adjusted EBITDA, which included $17 million during the period. Adjusted EBITDA was $24.33 on a per BOE basis. During the first quarter, we continued to fund our operations, development capital expenditures and dividends out of operating cash flow while also paying down $9 million in debt.  Supported by our solid operational and cash flow outlook, we paid an increased dividend of $0.12 per share in the first quarter and declared a dividend of $0.12 per share for the second quarter of fiscal 2023 payable on December 30 to shareholders of record as of December 15. We clearly recognize the strategic importance of returning value to our shareholders and remain focused on the continuity of this program.  As Kelly discussed, in September, our Board authorized a share repurchase program of up to $25 million through December 31, 2024. We expect to fund the repurchase program with working capital and operating cash flows and do not expect to incur any debt. We view the repurchase program as a tax-efficient means to enhance our returns to our shareholders.  One of the key reasons that we have been able to execute on our long-term program to provide a consistent return of capital to our shareholders over the past 9 years is due to our conservative financial management. As such, we remain squarely focused on ensuring we maintain a strong balance sheet. As of September 30, 2022, we had $10.7 million of cash and cash equivalents, working capital of $6.5 million and debt of $12.3 million. We grew our liquidity to $48.5 million, a 31% increase since the end of the fourth quarter.  As Kelly discussed, we were pleased to pay down $9 million of debt in the first quarter. Since the end of the quarter, we have paid down an additional $7.5 million and expect to pay down the remaining balance by the end of the calendar year. We did not enter into any additional hedges beyond what was previously disclosed in our last quarter and we remain below the threshold in our credit facility that requires us to add any incremental hedges.  Looking at the first quarter financials in more detail. Our total revenue of $39.8 million was 5% lower than the fourth quarter due to a combination of factors, including lower oil revenue due to 2% lower sales volumes and a 16% decrease in realized pricing. Lower NGL revenue, which was primarily due to a 16% decrease in realized pricing.  The reduction in oil and NGL revenue was partially offset by a 7% increase in natural gas revenue primarily due to a 3% higher sales volume and a 4% increase in realized natural gas pricing. The result was an average realized price per BOE decrease of 8% to $56.93. Lease operating expenses increased from $17.3 million in the fourth quarter to $19.1 million in the first quarter.  On a per BOE basis, lease operating expenses were $27.35 for the first quarter compared to $25.47 in the fourth quarter. primarily contributing to the increase was higher gathering, transportation and other expenses in the Barnett Shale associated with increased production volumes and commodity pricing as well as changes in estimates from prior periods.  Also contributing to the increase was higher workover expense in the Williston Basin. Partially offsetting the overall increase in lease operating costs was lower CO2 costs at Delhi Field associated with the decrease in crude oil prices from the prior quarter. As a reminder, our CO2 costs at Delhi Field are directly impacted by the price of oil.  Therefore, lower oil prices result in lower CO2 cost. General and administrative expenses increased to $2.5 million from $1.6 million in the fourth quarter. The current quarter included a little more than $300,000 and non recurring transaction and severance cost, also the prior quarter was positively impacted by a $1.2 million reduction in noncash stock-based compensation related to the forfeiture of unvested shares. Net income for the first quarter was $10.7 million or $0.32 per diluted share versus $14.9 million or $0.44 per diluted share in the fourth quarter. Contributing to the sequential decrease was lower overall commodity prices and higher lease operating and general and administrative expenses for the reasons I previously discussed.  Adjusted net income for the first quarter was $10.1 million or $0.30 per diluted share versus $15.1 million or $0.44 per diluted share in the fourth quarter. During the first quarter, we invested $1 million in development and maintenance capital expenditures. For fiscal 2023, we continue to expect total development capital expenditures of $6.5 million to $9.5 million. This estimate includes upgrades to the Delhi Field central facility, work over the Hamilton Dome field, the Barnett Shale and the Jonah Field, and sidetrack drilling opportunities and low-risk development projects in the Williston Basin, excluding the development of the Pronghorn and Three Forks locations.  As in the past, our spending outlook may change depending on conversations with our operating partners, commodity pricing and other considerations. So with that, I will turn the call back over to Kelly for his closing remarks.
Kelly Loyd: Thanks, Ryan. We are clearly seeing the benefits afforded by the 2 acquisitions we completed in the second half of fiscal 2022, which have provided Evolution with a much larger and diversified asset base both geographically and by commodity mix.  The cash flow from these 2 acquisitions has exceeded our expectations from the time of purchase. These 2 immediately accretive transactions follow our proven acquisition playbook executed over the past 3 years, with the overall combination providing enhanced diversification of our product mix and reserve categories across an expanded geographic footprint in multiple key U.S. onshore plays. We continue to survey the market for opportunistic acquisitions that align with our company's growth strategy.  The intrinsic value of our enhanced sales mix was on full display in the first quarter as higher natural gas production and pricing were able to significantly offset the impact of lower oil prices compared to the fourth quarter of fiscal 2022. Our enhanced asset base provides for significant cash flow generation that further supports our well-established shareholder capital return program provides a visible source of funding for future targeted strategic growth opportunities and places us in a strong position as we move through fiscal 2023.  Our steadfast commitment to maintain a conservative balance sheet and to remain disciplined in our management of capital puts us in a strong position to continue to execute our strategic plan focused on maximizing total shareholder returns and optimizing every dollar that we invest. Our Board remains staunchly committed to maintaining and, as appropriate, increasing our dividend payout over the long term. We clearly recognize the tangible value of providing our shareholders with a consistent and substantive cash return on their investment. We truly appreciate their support of our ongoing efforts. As part of our comprehensive shareholder return strategy, we were also pleased to recently put in place a meaningful share repurchase program that allows us to opportunistically repurchase our shares from time to time through the open market transactions, privately negotiated transactions or by other means in accordance with the federal securities laws.  We will continue to pursue initiatives designed to maximize total shareholder return by optimizing the value of every dollar we invest on a risk-adjusted basis depending on where we are in the cycle. Our approach of building a targeted asset base of PDP reserves capable of supporting cash payments to shareholders has served us well over the past decade and will continue to benefit our shareholders for many years to come.  As in the past, we will continue to closely evaluate and execute on targeted acquisition opportunities that are immediately accretive, provide long-term established production, strategically expand our base of assets and do not result in material dilution. Any transaction must also legally support our long-standing thesis of providing a significant total return for our shareholders. We look forward to capitalizing on additional opportunities to profitably grow the business while continuing to provide our shareholders with a meaningful and tangible return on their investment through our proven and consistent strategy of squarely focusing on the needs of our shareholders.  With that, we are ready to take questions. Operator, please open the line for questions.
Operator: [Operator Instructions]. Our first question comes from Donovan Schafer from Northland Capital Markets.
Donovan Schafer: I want to start off by asking for just some more details on the lease operating expenses kind of the other LOEs, excluding the CO2 injection and out of alarm taxes. So Ryan talked through some of what drove the increases, high gathering, transportation in the Barnett Shale. I guess I'd be curious to get some more details because I tend to think of natural gas production, often skewing LOs lower on kind of a BOE basis? And then commodity pricing. I understand that the CO2 contract is linked to the price of oil. But sort of excluding that, it seems like there is still a sense that commodity pricing impacted LOEs like in the Barnett Shale. So just curious if you can give us some kind of more specifics on what was going on there.
Ryan Stash: Yes. No, happy to, Don. And thanks for your support and thanks for the question. Yes. So for the Barnett Shale, there is a little bit in the marketing contract itself that has a component that's tied to natural gas, so the hub. So there's a piece of it that is tied to that as prices go up. But the other thing that's obviously going on is we've seen some inflation at the field level there as well. And so if you think about the Barnett, and being a non-op player too, we've got actual costs that come in about 2 months in arrears.  So really, what's going on in this quarter is what I call, catch-up expenses from kind of prior quarters as we've seen this increase in commodity prices. which does impact the gathering costs a little bit and also some of the fee level cost. So really, I think going forward, what we would think and hope to see is that cost to level out a little bit in the next and coming quarters. So we think -- currently, we kind of think somewhere around the kind of $20 to $25 per barrel range, we think, is a more normalized number for the Barnett kind of going forward.
Donovan Schafer: Okay. That makes sense. That's helpful. And then I'm curious for trying to follow. I have written before you guys are kind of I like that you try to hedge as little as possible. It kind of makes you guys, I think, an interesting vehicle someone who's wanting to have that commodity price exposure, but also sort of like almost like a prudent through portfolio management. So -- but that does have the hedging that does make me think a lot about pricing. And -- you've got -- you talked about the West Coast exposure through Jonah Field and that's obviously a positive development. But just in general, curious if you have any kind of nuggets on the outlook for natural gas pricing, both West and also Gulf Coast or whatever market you sell into, if you see you kind of have an outlook, I guess, sort of for the winter.  And then similar thing on the oil side because I know you're selling crude to the refiners and the refiners -- you're not -- it's not like you're selling finished to refine the product. But it seems like with what's going on in Europe and kind of the Northeast and there have been some reports about tight inventories for diesel. Those they're all sort of middle distillates I don't know, does Delhi being a product that sells at a premium. Does that -- does that skew towards a little distillates? And does that benefit flow through? Or does that all just get captured by the refineries?
Kelly Loyd: Yes. Donovan, thanks. I would say specifically with regard to the Delhi, right? We get paid that due to where our crude is located and also the type of crude that it is. So that would already be made up for in the price we received at the purchase, if that makes sense.
Ryan Stash: Yes. I mean really, the impact is going to be more for just LLS pricing and how that translates to WTI. There are some transportation charges that are relatively fixed in there. So for the most part, as LLS moves, which, as you know, is sort of driven by rent and kind of how the international markets are, that's really what's going to impact Delhi specifically. I would say in the other.
Donovan Schafer: You don't see changes spread changes from like product based on changes in refined products. That don't historic or they don't.
Kelly Loyd: It could be eventually, right? But that would be a longer-term thing.
Ryan Stash: Yes. The only thing -- and this is just kind of reaching out there. I mean, obviously, on the NGL barrel, right, some of the heavier components that we have in Delhi, if those are used for blending or whatnot, they could see some uplift and benefit there, but that's not going to be a big driver for our cash flows.
Donovan Schafer: Okay, okay. And then the natural gas, yes. Go ahead.
Ryan Stash: Yes. I was going to say, given the natural gas front, Obviously, you've seen storage catch up to -- well, almost catch up to. It seems like we're going to be there pretty quickly to a year ago and middle of the 5-year average range. And when that happens, current gas prices become more of a call on the next 2 weeks' weather. And so it's really going to be more volatile than it has been in the past. -- past year or so, in line with norms of past years.  But over the last year or so, when you're trading at a significant discount, there was considerable tightness. And currently, at this exact moment, it's not as tight as it has been. That isn't to say a couple of weeks worth of -- you give it 2 to 4 weeks of really cold winter I think we get back into a deficit situation. So yes, I think you're going to see some near-term volatility on natural gas prices for sure.
Ryan Stash: [indiscernible] on basis. Obviously, Houston Ship Channel has struggled a little bit here recently, just given kind of the Permian production coming online. Now we hope that all sort of out, on the West Coast or Northwest Pipeline, the actual, if you're looking at kind of the differentials going forward, I mean, those actually look pretty good, right, for this winter at least and early next year. So we're kind of hopeful that we're going to continue to see strong pricing out of Jonah.
Kelly Loyd: I just wanted to back track for half a second. So back to the LOE, I know Ryan walked you through the Barnett. -- on the Williston, there was -- the Williston LOE was a little elevated this quarter as well. We don't expect it to run at those levels going forward.  A lot of what was done, our operator, we had workovers there where you'll see a lot of operators just pull the string and replace that one piece of tubing, a couple of joints or whatever that have issues. And then you'll see them have to go back more often and do it again. What we did with Foundation is we did a very thorough job of completing these. So the effect of this upfront LOE in Williston should allow us to have fewer workovers for a longer period of time going forward. So we pushed a little bit of that cost forward into this quarter, but that should have longer-term benefits as well.
Donovan Schafer: Okay, okay. And then on sort of CapEx, I mean, this kind of ties in with workovers. When I think about workovers in Barnett or Williston or something like that, you're really trying to sort of stem the decline rate and maybe there's been a mechanical failure downhole or something like that necessitates it. But in something like the I can't remember, I think Hamilton down is water flood. I can't remember if Jonah Field is waterflood too.  But in those ones, if you come in and do a work over, you could --it depends on what you're doing that you could get maybe a more sustained actual uplift and same thing in Delhi. And so the cap -- the $6.5 million to $9.5 million capital expenditures in those more traditional like non-Shale plays that you're investing in. Is any of that more like something that could add some incremental production? Or is it broadly speaking, largely just flattening out the declines?
Ryan Stash: Yes. So I would say, broadly speaking, it's flattening out the decline. But we do have some recompletion opportunities and specifically in the Barnett, there were some wells that were shut in that they brought back online, and they've been working through that program. So some of it is a potential to add incremental production or really put old production back up to where it was as much as anything. But recompleted new zones would be additional potential reserves. And we do have a few of those projects on the books.
Donovan Schafer: Okay. And then for capital allocation between paying down debt, dividends, buybacks, you kind of have a lot of options at your disposal. I'm curious if you can give some framework. The dividend is going to be steady and growing. But there's question there about at what point or kind of what decision framework do you use to make the decision, okay, now is the right time for us to increase it? Or alternatively, again, because kind of a lot of options, you can turn to the buyback program.  And then with that one, what framework are you using? Is it kind of a PV-10 on strip value or something per share. Like what are the frameworks that you're using when you look at, okay, when do we increase the dividend, okay, when do we pull the trigger on a buyback for where the share price is at. And when do we instead turn things on the -- in the sort of where you have upside levers in the Williston and trying to do drilling or something there. What are your mental sort of frameworks?
Kelly Loyd: Okay. Sure. So yes, I mean, really, you've got dividends, you've got potential acquisitions, you've got share repurchases. You've got drilling, you've got debt repayment, right? Those are all uses of capital. And I'll just tell you this, it's very dynamic.  And we look at it quite often -- and we make our decision based on what do we think at that time and for the near term going forward that we care to project to, what do we think is the highest return and the best use of the investors dollar. And that can change quickly. But yes, I mean, Donovan, it is complex, and there's lots of capital projects competing for dollars. And we just try to make the best decision, the most accretive decision we can at that time.  So it'd be tough to give you any sort of specific metrics on that at this point.
Donovan Schafer: Okay. All right. And then just -- my last go ahead.
Kelly Loyd: I was going to say, I will say on the dividend. Again, every time we've raised it, we have been able to hold it there at that elevated level or raise it for at least 4 quarters. So raising the dividend is not something we take lightly. It's something -- when we do it, it means something.
Ryan Stash: Yes. And I mean from a buyback, just real quick, Donovan. So from a buyback/acquisition standpoint, right? I mean it's almost Obviously, we're always going to be looking at acquisitions, and we do think that we're hopeful at least, we're going to be into a market here where it's going to be attractive for acquisitions for us. So we want to balance having the liquidity and ability to do an acquisition right with also returning capital to shareholders and -- from a buyback standpoint, we think of that, well, we can either buy our own shares, we go buy something in the market. So we're sort of values -- it's kind of dynamic, right?  We're evaluating what do we think we can get in the market. versus what should we buy our shares for. So Kelly said, it's not -- we certainly going to look at the intrinsic value of our shares, but they are more -- it's more than just that as a factor.
Donovan Schafer: Right. And I mean, maybe if I restate it and the thinking might be hypothetically, if your shares came down in some significant amount, you could look at it and say, "Well, gee, that looks far too low and it's an attractive return to shareholders for us to buy back shares, but then you might find yourself in a situation where you say, but having -- by not buying back shares in a situation like that, it might also give us more ability to make a very savvy opportunistic acquisition.  And so the trade-off of pre-committing to, okay, here's the price where we're going to do buybacks. If you pre-commit to that, it kind of ties your hands in terms of -- because you're going to be seeing things in the -- in terms of what's happening where private transactions are happening. And having conversations around M&A. And so you'll have some sense about where things are trending there. And so maybe the trend and opportunity there is even more attractive and it allows you to do something even on kind of a bigger scale.  Is that -- is that right?
Kelly Loyd: Yes. That is definitely a true statement. That's how we look at it. And we weigh them very regularly, and you've seen our decisions over time, and they lean in different directions over time.
Donovan Schafer: Yes. Okay. That makes sense. And then the last kind of line of question here is just kind of -- I'm going to hunt in on Delhi Field, even though I know that's not -- you have so many other assets now. But I think -- and so if you feel like this applies to some other assets, let me know, and feel free to elaborate on that. But when I think of the Delhi field, it's the one that really stands out as an example of something that has like these additional phases, all of these sorts of potential initiatives.  There's the heat exchanger you guys were adding. There's just sort of like a lot of incremental ways to come at that one. And of course, Delhi is the one to say, "Hey, we think we want to start trying to do this now. We want to start trying to do that now. But I'm curious if there's been any incremental conversations and the operator thereabouts, they're becoming interested somehow in some new phase initiative program, Delhi could be Jonah, Hamilton, yes. Anything there going on.
Kelly Loyd: Okay. So I'll speak to Delhi. We have regular conversations with the team at Denbury and I've been encouraged with -- they sort of have a renewed sense of vigor to the asset. I don't know if it's just the personnel, or if it's something corporate. But I do think that they are -- they've been really doing a great job with their conformance work and I think they're committed to that. And they've also mentioned other projects that they want to go forward with there.  And I think they're excited about Delhi, just like we are. It's a small piece of their overall portfolio. So I doubt that you'll hear them talking about it on their corporate presentation very much. But I do think the asset team believes they have a really good asset there and that there's more that can be done with it. So -- I hope that gives you some -- we have a firm AFE. I don't want to say anything along those lines. But I do think you're considering various options and they're excited to enhance the project and have been doing a really good job on the conformance side. So.
Donovan Schafer: Okay. I think kind of in the Shale world, if people will get stacked pay in the Bakken or whatever at Three Forks and say, "Oh, in some ways, some of this can almost be like free money in a sense, if you bought it with one layer in mind and you find that another one is economic, then that can seem really appealing. But I think my sense -- my understanding is that that's kind of always been the case of all these the conventional stuff too, and especially as you go through secondary and tertiary recovery and multiple different phases. And so sometimes those require more programmatic upfront capital commitment like you can't just do those types of things.  One well at a time or at least it has to be planned and not through and scheduled ahead of time, where you're like, well, it will be one well this month and then another well this month in this spot in this location and so you can't just stop and go on it. And so it has to be a higher sustained commodity price for some starch of time and outlook for it to sort of to get that capital buy in. But if we're in that kind of environment or headed in that way, it's just be interesting if you use a distal and they're not technically layers in this context that they kind of have that quality if that becomes interesting. So I appreciate your commentary. I'm sure I'll be asking you guys about that at other points in the future. So if there's anything set you want to add on that, feel free, but otherwise, I'll take the rest of my questions offline. But yes, good job on the quarter, guys.
Kelly Loyd: Thanks, Donovan. Yes, I really appreciate it, and happy to follow up with you further to help you out. So.
Operator: The next question comes from John White from ROTH Capital.
John White: Good afternoon, everybody. And Kelly, I'd like to offer my congratulations on your recent appointment as CEO.
Kelly Loyd: Thank you, John. I really appreciate that.
John White: Well, you've been on the board a number of years. So you know the company very well, and you've got your own successful track record within the industry. So I'm glad to see it.
Kelly Loyd: Well, terrific. Yes, we're -- look, it was the opportunity to work with this -- I mean, truly a talented team of professionals here and continue working with the Board from a different capacity. It's terrific. So thank you very much. I really am excited. It's a wonderful spot.
John White: Well, good. I may be a little late in noticing this. But in your September presentation on Slide 5, under the heading Return Of Capital, there's a line -- a bullet point, Special Dividends. I believe that's a new addition to the presentation. Is that right?
Kelly Loyd: Yes. And honestly, that was -- it's something we've talked about at the Board level. We have not pulled the trigger on doing it, but it is in our calculus of what's the best way to return capital to shareholders in the most effective way that will have, hopefully, a longer-term lasting effect, it was definitely 1 of the options we consider.
John White: And I suppose that might be employed if things are quiet on the acquisition and CapEx front and give you the flexibility to pay a special dividend?
Kelly Loyd: Yes. I would say along those lines, there would be a number of factors that have to take place. But for sure, thinking along those lines, that would be the kinds of things that would make that more attractive.
John White: Okay. Well, the press release and the comments today were very detailed. So I don't have any further questions, and I'll pass it on.
Kelly Loyd: Well, great. John, yes, thanks for calling. I really do appreciate it. I always enjoy talking to you.
Ryan Stash: Yes. Thanks, John.
Operator: The next question comes from Jeff Robertson from Water Tower Research.
Jeffrey Robertson: Kelly or Ryan, can you talk about the $6.5 million to $9.5 million capital program that you referenced for fiscal '23 and how that might impact production as you progress through the rest of this year? For rest of fiscal year?
Kelly Loyd: Sure. I would say for the most part, that will be to keep production at levels consistent with our reserve report. We may see a few sort of chances to bump it on some projects along the line. And hold some of the production flat. But I mean that's really where that number came from the midpoint of that. It's just a sort of matter we've already planned out. So I think it the corporate decline that we have, it doesn't really change that. We have chances to do a couple of recompletions. We have chances to do some side tracks. Those would be sort of incremental. But for the most part, it's sort of steady as she goes in there.
Ryan Stash: Yes. I mean I wouldn't think Yes. All right. Just -- I know we've gotten the question on kind of maintenance capital, everyone is trying to figure out, right? I mean I wouldn't expect this program to be a true maintenance capital program to keep production flat. -- but we would hope that it would add some production, certainly potentially in the Williston, right, with some drilling, we could see a little bit of an increase there. And the other areas just maybe stem the decline a little bit.
Kelly Loyd: Yes. And so like in the Jonah, there's some central compression facilities going in that will help. That will help us much with cost as anything else just like in Delhi, with the heat exchanger could help improve OpEx, lower LOE. So it's not all production, some of it affects costs as well.
Jeffrey Robertson: Are some of those costs workovers and will flow through the LOE line? Or are they true capital costs?
Kelly Loyd: These would be capital.
Ryan Stash: Yes. I think we'll see probably -- as with history, we'll probably see a mix of that. Jeff, obviously, we make a determination when we get the AFEs if it's a capital or expense workover, but we'll probably see a mix of both.
Jeffrey Robertson: And Kelly, on the Williston, have you all -- how far along are you in your technical and engineering evaluation of the inventory on the Pronghorn and Three Forks to start deciding whether or not some of those wells might fit into your capital program and, I guess, foundation for that matter in 2023?
Kelly Loyd: Okay. So it's kind of like you're running -- you're going down a road, and so to answer how along are you? We're not to the end yet. I'll say that. We're still evaluating it. Obviously, prices change, both on the input and on the cost side and the output side, so it's dynamic, and we are doing basin-wide study 3D geographic model. There is a lot of work going into it. And I would say we're not at a point -- nor a foundation where we're ready to say we're going to go forward with this program at this level right now or at a different level right now.  So I mean, yes, listen, we're working with Foundation, and we're moving the ball forward. We're just not there yet. And I wish I could give you a more specific answer on timing. But I'd just tell you, we've done a lot. -- we've looked at a lot, but there's still more to do. And anyway, I hope that helps.
Jeffrey Robertson: It does. Last question on capital allocation. The revolver balance, I think, at the end of -- the quarter was probably around $12.5 million, having come down $9 million in the quarter. Can you just talk about how debt repayment on the revolver competes or compares for your uses of capital with the share repurchase authorization and the dividend?
Ryan Stash: Yes. So I think we kind of put this out in our prepared comments and the press release. So we paid down another $7.5 million after the quarter end. So Currently, we're just under $5 million sort of drawn and expect to have that one towards the end of this kind of calendar year, right? I think what we've been consistent on the share repurchase is to say that we want to have our debt paid off before we really look at a share buyback.  And so that's -- obviously, our debt is going to be paid off soon to where we would start really looking at potentially using the program depending on as we talked about earlier, right, with Donovan, just depending on how the Board and how we feel about kind of the outlook for M&A versus kind of where our stock is trading.  Now for the dividend, I'd say that's a little independent right, of kind of the debt pay down, right? We've always made a priority of paying down the debt, and we're pretty much done. So that really hasn't impacted how we think about necessarily raising the dividend if we sort of felt like the Board felt like the outlook warranted us raising dividend with a little bit of debt drawn, we would still do that. So I don't think -- I wouldn't want people to think that, look, we're not going to raise the dividend on last week. Paying down our debt and vice versa, once we pay down all our debt, we're going to raise the dividend, right? It's kind of a dynamic outlook that we do every quarter and given sort of the volatility in pricing right is something that we may look at even more often than that.
Operator: Our next question comes from John Bair from Ascend Wealth Advisors.
John Bair: I'd like to add the congratulations to Kelly on your appointment. And.
Kelly Loyd: Thank you. Really appreciate it.
John Bair: I have quite a number of questions, but given the time constraints here try to take them offline, but a couple of quick ones. Kind of we've talked a lot about the payoff of the debt and so forth. So at the end of this calendar year, you'll probably be debt free. And your hedges will be rolling off pretty quickly. So my question is, have you -- with regards to the dividend, a lot of talk about that. Have you considered the idea of the variable like so many other companies have initiated as opposed to, say, a onetime special dividend if that were deemed appropriate?
Kelly Loyd: Yes. We have considered a variable. And -- at this point in time, the board and I consider a consistent dividend to really add more value to shareholders.
John Bair: Well, I mean, if you had a base, I mean, when they talk about a variable from what I've seen, the companies have a fixed base dividend and then the variable component is based on cash flow or whatever. And so that -- so in that context, I'll say, okay, you have your base dividend right now at $0.12 a quarter and then decide on how much additional of your cash flow you might want to pay out as a variable, that kind of concept.
Kelly Loyd: I understand what you mean rather than just a true variable, you pay out x percent of your rate right. I understand. Yes, we've considered that for sure. and it's something we will continue to consider. You also have to keep in mind, I mean, we have an asset base that given the right parameters, we can find acquisitions that can grow to it in a meaningful way without having to take on a whole lot of debt.  So on the acquisition front for the right acquisition, that's always going to be something we want to have in mind. So -- and we don't always want to do with all debt. I mean -- look, if we have some cash on hand, that helps as well. So.
Ryan Stash: Yes. And I would say, John, I mean, it's from a dividend standpoint, and we've done a lot of work and analysis on this. We mentioned and John White brought the question on special dividend. It's certainly something that kind of a tool in the toolbox, if you will. But in our opinion, in my opinion, too, we don't -- you don't get a lot of value for just a onetime special dividend that's non-recurring. But if -- to your point, if you wanted to look at a variable dividend based on a percent of cash flow, you probably -- and I think you would get a little more credit to the market, but what you don't see very often is small-cap companies employing that strategy that people that have done that variable strategy are pioneer, Diamondback, we're looking at a really large producers that effectively have, what I would say, cash that they don't know what to do with.  They've got a buyback program in place. They've got a base dividend. The market doesn't really want them to go out and buy additional properties. And so they have this -- they don't want to build up a cash balance, so a variable dividend for them makes a lot of sense. For us, we do want to reserve some cash and cash flow to be able to be opportunistic and grow the asset base. via acquisition.
Kelly Loyd: Yes. I mean to further what Ryan is saying for those guys, I mean, it's sort of the law of big numbers, right? For them, we'd be able to use that portion of cash flow, which is above the base to go make an acquisition, it's just -- it's hard to find something big enough and meaningful enough to really make a difference. Whereas for us, we can find sort of onesies and twosies kind of acquisitions that do make a difference for us. So.
John Bair: Okay. Fair enough. Kind of going back to some of this CapEx and lease operating expenses and so forth. Given the big push and effort on reducing greenhouse gas emissions and so forth. How much of your operating expenses? Or are you seeing a lot of need or attention being paid towards equipment being put on these producing well heads and so forth that is requiring new equipment to help mitigate leakage and so forth. Is that a meaningful part of your ongoing operating expenses?
Kelly Loyd: I would say for the most part, no. I mean, look, historically, I know that energy companies get a bad rap. But I mean, most of the time, most companies are not inventing and they're trying not to flare. The -- and we're in places where if we make gas, we want to sell it, right? So -- so yes, I mean, again, if we had some huge wells that we're making oil and a bunch of associated gas, and you can't really sell the gas.  Well, what do you do, right? That's a dilemma that we're trying not to get ourselves in. And for those guys, it might be a meaningful cost that they have to do something extraordinary to capture that and not waste. But Look, we've had some equipment, obviously, have to go in, but it's just sort of normal core stuff. So I wouldn't -- I don't think there's really been anything extraordinary.
Ryan Stash: No. I mean I would just add, so if you look kind of -- just a couple of examples for you. So for Jonah, for instance, they're big on what they call responsibly sourced gas Luckily, we actually bought the asset after they put any equipment in that needed that. So we haven't really seen any capital. Any LOE that we see ongoing is really minimal. It's more of a capital expense, which we didn't have to put up. In the Barnett, we talked to diversified. I mean they are looking at things like solar-powered compressors, but there's nothing that we've seen from a large sort of capital expansion. I would hope that anything they put in like -- for instance, a slower part compression, you'd see some savings on the electricity side, right? So I would say, in general, we're not seeing a big push or impact to our financials for that.
John Bair: Yes. Yes, I think it's a fallacy that anybody thinks that any sized oil and gas company would want to flare gas? I mean it's burning money if they're not right? I mean but I guess what I was trying to get at more was monitoring -- is there any either regulatory-wise or from an operational standpoint, older fields, maybe older equipment and so forth that you're having to put some new equipment on to monitor that kind of stuff, but.
Kelly Loyd: Okay. Sure. No, I understand. And I would say there's really nothing substantially new or different I hope that helps.
Ryan Stash: Yes. I mean, definitely right, look at Delhi, they're trying to get that certified as a carbon sequestration field, right? So that's the forefront of sort of CCUS movement here. And like I mentioned, John has already put in a lot of the monitoring equipment. In the Barnett, I think, like I said, diversified is going to replace things as it's needed. Some of the wells are that some of them have been drilled, call it, 10 or so years ago, but by a lot of oil and gas standards are not incredibly old. So I mean I think they're really potentially just looking at placing things as it comes up.
John Bair: Okay. Well, I have more questions, but I'll a range to get with you off-line then.
Kelly Loyd: Yes. Listen, great. Thanks for the call, and we'll be happy to touch base with you anytime like.
John Bair: I'll be in Houston actually in the next week or so. Will make -- drop down. Okay. So you.
Kelly Loyd: That's great. Thank you.
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Kelly Loyd for any closing remarks.
Kelly Loyd: Thank you, Jason. Thanks again for everyone for taking the time to listen and participate in today's call. We really do appreciate your continued support of our efforts. As always, please feel free to contact us if you have any additional questions. We look forward to formally speaking again when we report our second quarter for fiscal 2023 in February. Thanks again.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.